Operator: Hello, and welcome to FTAI Aviation Fourth Quarter 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Alan Andreini, Head of Investor Relations. You may begin.
Alan Andreini: Thank you, Towanda. I would like to welcome you all to the FTAI Aviation fourth quarter and full year 2024 earnings call. Joining me here today are Joe Adams, our Chief Executive Officer; Angela Nam, our Chief Financial Officer; and David Moreno, our Chief Operating Officer. We have posted an investor presentation and our press release on our website, which we encourage you to download if you have not already done so. Also, please note that this call is open to the public in listen-only mode and is being webcast. In addition, we will be discussing some non-GAAP financial measures during the call today, including EBITDA. The reconciliation of those measures to the most directly comparable GAAP measures can be found in the earnings supplement. Before I turn the call over to Joe, I would like to point out that certain statements made today will be forward-looking statements, including regarding future earnings. These statements, by their nature, are uncertain and may differ materially from actual results. We encourage you to review the disclaimers in our press release and investor presentation regarding non-GAAP financial measures and forward-looking statements, and to review the risk factors contained in our quarterly report filed with the SEC. Now I would like to turn the call over to Joe.
Joe Adams: Thank you, Alan. I’m pleased today to announce our 39th dividend as a public company and our 54th consecutive dividend since inception. The dividend of $0.30 per share will be paid on March 24 based on a shareholder record date of March 14. I’d also like to start today by talking about the investor presentation posted to our website. While not going to go slide by slide, we wanted to speak to our market opportunity, the value proposition, scalability and durability of our Aerospace Products business. Starting with the market opportunity, if you look at the total number of operators, the majority of our target customers are small and medium-sized airlines, which have narrow-body fleets powered by CFM56 and V2500 engines, our focus engines. They represent approximately 600 operators worldwide, and 80% of the number of all these engines flown, which creates a large and fragmented addressable market of $22 billion of annual maintenance spend, where FTAI focuses and can provide significant value to the customer. We offer these customers a lower fixed price with minimal downtime products compared to what our competitors do. This is made possible through our unique maintenance capabilities and expertise and a large owned engine fleet. Central to our maintenance approach is green time optimization, which is how we rebuild modules and engines that require repair. Unlike traditional MROs, FTAI leverages in-house engineering and maintenance capabilities to extract every available cycle from each module. Our scale enables us to optimize module deployment or combine modules to build right-sized engines for our customers. You can see a typical example that we detailed on Slide 13 in the presentation, but let me take a moment now to explain the process in a little more detail. The CFM56 engine consists of three modules: the fan, the core and the low-pressure turbine or otherwise called the LPT. Engine maintenance is needed when one of these modules hits their life limit. When this occurs, usually the other two modules still have remaining life. And the key to our green time optimization strategy is to acquire and dismantle unserviceable engines, refurbish the viable modules and sell them individually or reassemble them into right-sized engines for customers. And a right-sized engine is one where the various modules, three modules all have a similar remaining useful life. Performing module maintenance at scale, in addition to owning the engine throughout the repair cycle creates significant cost savings opportunities. This allows us to offer significant benefits to customers compared to a traditional shop visit, while also generating higher margins than typical MROs. We see a bright future ahead in our unique role in the aftermarket, supported by significant investments we made in 2024 as well as the announcements we made yesterday regarding the new facility – maintenance facility in Rome, and our strategic capital initiatives, which we call SCI, to accelerate our market share and help sustainably support airlines in their long-term maintenance needs. Our new joint venture agreement with IAG Engine Center Europe, which will be rebranded as QuickTurn Europe, complements our existing facilities in Montreal and Miami, and will help address the strong demand for FTAI’s MRE, or maintenance repair and exchange services, from our global customer base in a critical geographic location. Secondly, we were excited to announce yesterday that the SCI has received $2.5 billion commitment for asset level debt financing from ATLAS, which is a majority-owned subsidiary of Apollo and Deutsche Bank. The SCI team is currently in the late stages of closing a second round of equity financing, and we believe the market opportunity to deploy capital raise in these SPVs in this way is in the region of more than $4 billion annually. Turning now to adjusted free cash flow. In 2024, we generated approximately $670 million from business operations, which included $140 million related to the sale of both of our offshore vessels. At the same time, we invested approximately $1.3 billion in major growth initiatives, which range from the purchase of the Montreal maintenance facility, the termination of the management agreement with Fortress, and investments in aviation assets, in particular, engines and parts to support our growth strategy in 2025 and beyond. Overall, we feel more confident in our annual business segment EBITDA for 2025 to be between $1.1 billion and $1.15 billion, excluding corporate and other. We’re also expecting adjusted free cash flow of approximately $650 million in 2025, which is broken out in more detail on Slide 24. We will continue to make strategic reinvestments in the business. However, the launch of our strategic capital initiative will reduce our capital asset acquisition needs in 2025 and beyond. So while we will continue to prioritize growth opportunities, we will also consider capital redistribution to shareholders. Finally, as we look at our current pipeline, we now expect our annual aviation EBITDA to rise from our previously projected $1.25 billion, to be approximately now $1.4 billion in 2026. With that, I’ll hand it over to Angela to talk through the numbers in more detail.
Angela Nam: Thanks, Joe. The key metric for us is adjusted EBITDA. We ended the year strongly with adjusted EBITDA of $252 million in Q4 2024, which is up 9% compared to $232 million in Q3 2024, and up 55% compared to $162.3 million in Q4 of 2023. During the fourth quarter, the $252 million EBITDA number was comprised of $133.9 million from our Leasing segment, $117.3 million from our Aerospace Products segment and $0.8 million from Corporate and Other, which included $18.7 million related to the gain on sale of both of our offshore vessels. Now let’s look at all of 2024 versus all of 2023. Adjusted EBITDA was $862.1 million in 2024, which is up 44% versus $597.3 million in 2023. Turning now to Leasing. Aviation Leasing continued to deliver strong results, posting approximately $134 million of adjusted EBITDA. The pure Leasing component of the $134 million came in at $128 million for Q4 versus $99 million in Q4 2023. Included in the $128 million was $11 million settlement related to Russian assets written off in 2022. Additionally, we ended the year with a $40.4 million book value of assets sold or a 12% margin for a gain of $5.7 million. Overall, we generated $500 million of adjusted EBITDA for 2024 in Aviation Leasing, in alignment with our original estimates for the year. Looking ahead, we remain comfortable assuming Leasing adjusted EBITDA to remain at $500 million in 2025 as we pivot our focus towards an asset-light business model. Aerospace Products had yet another excellent quarter with $117.3 million of adjusted EBITDA at an overall EBITDA margin of 34%, which is up 15% compared to $101.8 million in Q3 of this year, and up 115% compared to $54.6 million in Q4 2023. We continue to see tremendous growth in our adoption and the usage of our Aerospace Products and remain focused on ramping up production in both of our facilities in Montréal, Miami as well as commencing operations in Rome. In 2025, we expect to generate $600 million to $650 million of EBITDA, up from $381 million in 2024 and $160 million generated in 2023. With that, let me turn the call back over to Alan.
Alan Andreini: Thank you, Angela. Towanda, you may now open the call to Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Kristine Liwag with Morgan Stanley. Your line is open.
Kristine Liwag: Hi. Good morning everyone.
Joe Adams: Good morning.
Kristine Liwag: Joe, by the way, this investor presentation that you put out is very interesting. And it clearly lays out the value proposition that the FTAI business model provides. But just taking a step back, when you look at the competitive landscape, one of the key investor questions had been like why isn’t anybody else doing this? But I thought you had a pretty good layout of where others are like third-party MRO, internal airlines, other aircraft leasing companies. But why is it that nobody else has this vertically integrated model because it really seems like you found a sweet spot? So why aren’t others doing it? What’s their hurdle? And what do you think – do you think your true competitive moats are?
Joe Adams: Sure. There’s a lot of different moats. We’ve maybe put in place over the years. It’s taken us seven, eight years to get to this point. So it’s not a simple process. It was a sequential number of steps we took. But basically, to compete, to do what we do is similarly what United, American and Delta do, which is you have to own a large fleet of the same type of engine and then have your own maintenance capability and facilities. And so there’s nothing to stop other people from doing that. But what we did is we’ve sort of copied the majors and then offer that to the 600 operators around the world that don’t have a maintenance facility. So it’s effectively, it’s an outsourcing function for a single engine type. So when you look around the world, like, well, who could do that, clearly, people that own maintenance facilities could do that, but oftentimes they have multiple engines and they don’t own the engine. They’re servicing other people’s engines. So they have to reorganize their business, set up an asset management team, pick an engine, find a facility that doesn’t have third-party work that they have to displace and then try to assemble all the other parts. The other impediment, if you go back where we started, is we invested in PMAs six, seven years ago. And that will be the only PMA product for this engine. So we have an exclusive on that. And many of the companies that I just mentioned, that own maintenance facilities, have very strong ties with OEMs, which will commercially likely prohibit them from using PMA to any significant degree. So that advantage is something that nobody can copy. The other advantage is that we built up, people could, but it takes a lot of time and a focus. And when we did it, the outcome wasn’t all that clear. I mean it seems today, clear, but when we went down that path and decided not to diversify and to own our own maintenance facilities, nobody else is doing it, so we were like – people looking at us like what are you doing? So I don’t know that’s – we think about it all the time. We’re always paranoid, and we keep putting up other barriers. And I actually think that SCI is yet another barrier because now we’ve added institutional quality asset management to the mix, which – that’s a big hurdle for people to – you can’t just go raise the first fund easily. I know because we’ve done it a couple of times. It takes a lot of work. And so if you put that on top of it, it’s – we’re going to try to add something every year to make it harder, frankly.
Kristine Liwag: That’s really helpful, Joe. And maybe a segue to SCI, I mean your recent announcement, you’re putting in $550 million in the form of 46 on leased aircraft, and you’ve got the $2.5 billion in capital from Apollo to Deutsche Bank – and Deutsche Bank. You’re not at $3 billion and you’re now calling for $4 billion. I mean, what’s driving the increase of the previous $3 billion? What’s the appetite for further capital into your SCI? And lastly what would you define as successful for you and your partners for this investment?
Joe Adams: Sure. So just in terms of the size, we originally indicated we were targeting $3 billion, and we found that the terms of the debt that we were able to obtain allowed for higher leverage, effectively close to over 70%. So that gives us more capital to invest. And at the same time, we’re seeing a very strong deal flow. It’s now still February, and we have over $1 billion committed in investments already for SCI. So – and there’s it’s a huge market opportunity. If you look at just the leasing market itself, lessors owned, if you think there’s 14,000 CFM56, 137 NGs, A320 COs, about half of those are owned by lessors. So 7,000, and roughly 20% of those trade in a given year. There’s been a little bit less because people held on longer to the pandemic and the strong market environment. But we see that ramping up as new deliveries start to pick up and lessors need to manage their average age of their fleet, so they have to sell older assets and buy newer assets. So we think that just the lessor market alone is north of $20 billion a year of investable assets. And then on top of that, you have airlines doing sale leasebacks. And we’ve seen a number of airlines opting for sale leasebacks because they have a lot of shop visits on engines coming up. And that is a perfect fit for us because we love shop visits. We’re one of one in that category. There’s no one else that I’ve ever met that likes the shop visit. So we are very competitive on sale leasebacks when airlines are looking to phase out – ultimately phase out the fleet, but also avoid engine shop visit. So we’ve got a number of deals lined up in that area. So we really think that there isn’t sort of a dominant lessor in the – this asset class, which happens to be the largest by account in the world and we – our goal is to become that. Now what the investor wants ultimately is returns. And because we can manage engine exchanges more efficiently, we actually believe we can deliver a higher return and a lower risk. And it’s – when I always think about the investment business, that’s the quadrant you’re always trying to get to, and we have a product that no one else can offer that we believe generates higher returns and has lower risk for the investors. So there is really nothing not to like about it.
Kristine Liwag: Great. Thank you, Joe. I’ll leave it at that, and these are really helpful.
Joe Adams: Thanks.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Sheila Kahyaoglu with Jefferies. Your line is open.
Sheila Kahyaoglu: Good morning and thank you team. Congrats on the great quarter. Joe, maybe two questions for you, both on margins. First, if we could start off with your margins at 35%. If you could go through that a bit because I think there’s some misunderstanding on how you generate those margins and how sustainable they are? And then secondly, it seems like you’ve upped the bar once again with Slide 14, and you’re talking about 35% to 50% margin potential EBITDA margins versus the 40% you’ve talked about previously. Can you walk us through the profit drivers over the course of 2025 and beyond, whether it’s PMA adding $250 million green time optimization and just better productivity at your facilities as well? So if you could just touch on those two things.
Joe Adams: Yes. Sure. So when we think about the margins, we break it down into really four different categories and many of which are additive to one another, but you start with repair. When a typical MRO gets paid to fix something for someone and generally they’re earning 15% margin for repair work. It’s like a mechanic. You pay the labor and you pay the parts. So that’s sort of the easy part. The second is green time optimization, which we’ve given an example in the slide deck, and David will walk through that in more detail, but that’s something unique to us that no one else does. And as I mentioned, it’s really -- it’s been practiced by major airlines, but if you have to own your fleet and have a maintenance facility and we combine that just so that we don’t waste any available cycles, hours and cycles. The third is a parts strategy, which is use serviceable material, buying used LLPs and ultimately, PMA, which is the top of the mountain and we have all of those going. We’ve been working on our parts strategy for many years, and we have the whole team of people, and that’s all they do, because a big part of any shop visit is parts. So – and ultimately, we’re moving more into piece parts repair, which will be further upside on margins as we do more and more of our own repairs. And then lastly, on – in many cases, we provide a just in time product for the airline, and we help them avoid inducting that our engine into a shop. We can do field service work. So we have a white glove just in time product. So when you break the margin down that way, none of those components seem out of line. And we’re the only party that combines all those activities though. And then when you think about the sustainability, we believe that this is sustainable in any market environment. The repair and the white glove service are value adds, no matter what the economic climate is. And then numbers two and three, green time optimization and parts, we believe will grow. In the optimization model, we have a little chart in there, the more engines and the more modules you own, the better you get at optimization. It’s just mathematical. So we believe there is further upside in the optimization. You also mentioned the efficiency of your facility that we believe we can – by standardizing the approach to engines, having mechanics only working on one engine, running it like a factory, we’ve been able to demonstrate productivity improvements, so we can drive that to higher margins. And then lastly is PMA, which is not really in the numbers, but we believe that adds 5 to 10 percentage points to the margins when the full complement of PMA is available. It will be somewhat a function of product mix, but we think 5 to 10 percentage points of upside is a reasonable number. So David maybe will talk about that.
Sheila Kahyaoglu: Sure. Go ahead.
Joe Adams: David will walk you through the green time optimization.
David Moreno: Hi, Sheila. Happy to walk everyone through Page 13 of the presentation. So this example is meant to bring to life FTAI’s secret sauce, which is green time optimization. So our business is built to monetize every cycle in the engine through maintenance. So generally, the starting point is a group of unserviceable engines. So on the left, you’ll see three engines that have become unserviceable. In this scenario, the engines are unserviceable because one of its modules has run out of life. These engines are either sourced through exchanging our leasing books or we can acquire them unserviceable as well. And this example of the acquisition cost of these three engines is $6.5 million. Next, the engines are then broken down into separate modules. Just to recap, each engine has three modules, so it’s a total of 9 modules. Maintenance is performed to address durability issues and ensure each of the modules can last until it’s limiter. In this scenario, we are investing $3.5 million to bring the total investments of these engines to $10 million. Finally, on the right, you create – you assemble the modules to create two serviceable engines with consistent life across each of its modules. And in this scenario, the third engine is not actually assembled. It’s an engine for teardown that we can reuse for future builds via its parts. In total, the total value of these engines is now $16 million. So effectively, we created $6 million of additional value. So this example demonstrates the power of green time optimization, where one plus one is a lot more than two and as the business continues to grow, the ability to optimize green time only increases. Our strategic capital initiative will further enhance our ability to optimize green time because we’ll have a committed backlog and will be in higher volumes. And with insight on what that backlog looks like, we’ll be more efficient into actually producing modules and engines more effectively. And I think we also illustrate on Page 15 that exponential growth that Joe was talking about, which ties into scale in the business.
Sheila Kahyaoglu: Great and thank you so much.
Joe Adams: Thanks.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Josh Sullivan with Benchmark Company. Your line is open.
Josh Sullivan: Good morning.
Joe Adams: Good morning.
Josh Sullivan: Can we just dig into the new QuickTurn center Europe? Why was this the right joint venture in Rome? How should we think of the ramp? Maybe what percentage of your customers are already in Europe and what having a local facility might do for turnaround times or politics or even new capabilities for FTAI?
David Moreno: Sure. This is David. I’ll take that question. So we’re very excited to add Rome to our MRE network. And we’re very excited because as you pointed out, the first focus is geography. So about 40% of our customers today are in Europe, as well as Rome has great connectivity to the Middle East, and this specific facility actually has the Chinese certification, which then gives us access into China. As the second reason is its capabilities. So this facility has a lot of the similar capabilities to our Miami facility, where it is focused on CFM56. It has MRE maintenance capability as well as it has access to a test cell. So our plan is to reactivate that test cell in the next two years and bring that test cell online. Where it differs from the Miami facility is it also has access to piece power repair. Like all our maintenance facilities, they all have a deep history. This one in particular has a history with an airline, Alitalia. It has had investments with Lufthansa, which, at one point, had a partnership. So they developed a lot of capabilities and that facility has been underutilized. So we’re very excited to bring our volume to that facility and grow that. We believe we can start the MRE process immediately after acquisition, and then we can ramp up for the test cell and piece-part capability over time.
Josh Sullivan: Got it. Thank you for that. And then just as a second question, I’m going to touch the load stone here and just ask for if there’s any updates on the PMA approvals, but also maybe how has the PMA part approved late last year performed? Are lessors using that part? Or is there any resistance?
Joe Adams: Yes, I will take the second part first. The part approved last year is being installed in engines. And the prior part, which has been in service now over two years, has flown almost 100,000 hours in our engines, and is performing extremely well. And ultimately, I mean, that’s what matters from PMA is the part is high quality, and durable and last a long time, and that’s what operators are – that’s what we’re seeing and that’s what operators are experiencing. So that’s great news. In terms of the approval, again, we don’t forecast when actual part numbers will be issued. We did say that there has been a substantial amount of progress made, and we are very close on the next part. But that’s pretty much the same thing we said the last time, but it still stands to be true.
Josh Sullivan: Thank you for the time.
Joe Adams: Yes.
Operator: Thank you. Please stand by for our next question. Next question comes from the line of Giuliano Bologna with Compass Point. Your line is open.
Giuliano Bologna: Hi. Good morning. Congratulations on another great quarter and the continued execution fundamentally and also expanding the runway for the business. One of the questions I was curious about asking you was more of a macro question in terms of the evolution of the industry. But as a lot of the legacy operators come out of their midlife legacy assets, what do you think the impact will be on the industry? And will the industry become more fractured and fragmented as some of the larger legacy operators start to sell off some of those assets to smaller operators and midsized operators globally? And I am curious how that impacts you in the MRE business, and it creates more opportunities over time for you to expand the MRE platform and even the SCI platform as well?
Joe Adams: Yes. No, it’s a great question. And it is an important dynamic in the evolution of that aircraft in that today, you have probably about 20% of the engines are operated by those very large carriers that have maintenance facilities and are harder for us to get at, because they don’t outsource that function the way the others do. But over time, all of those aircraft are going to come out of those fleets, and they’re going to – or not all of them, but almost all, and they will go into small- and medium-sized airlines around the world which will meet our services. So, you can think of you probably have a 25% growth opportunity just on that phenomenon coming out of having those airplanes cascade down into second, third-tier operators, cargo operators, charter airlines all around the world. So, that’s a very important industry dynamic, which has happened in every other aircraft platform. The other thing is if you look at the macro on the industry spend, aviation, we just put out new numbers on expected total spend on maintenance for V2500 and CFM56 engines remaining relatively constant at $22 billion through 2030. And so you’ve got another five years where they are forecasting the maintenance spend, which is our addressable market. This is going to be relatively constant for those engines. And as we said, we’re at 5% of that right now. And so we don’t see any reason why we couldn’t increase that market penetration to 20%, 25% over time.
Giuliano Bologna: That’s very helpful. And maybe a slight follow-up on that question. But I think when you think about that opportunity, obviously, there’s a lot of mid-life aircraft that you need to transact. And I’m curious, now that you are scaling out the SCI programs, does that give you a very good opportunity to kind of intercept those assets that would normally maybe be sold to mid-tier operators and then maybe try to capture them and acquire them into the SCI vehicles and lease it out to the mid-tier operators and then recapture all the maintenance? I am curious if there is an opportunity for you to kind of intercept that cycle that typically happens and also become the lessor and the maintenance provider as part of that conversion cycle.
David Moreno: Yes. And the answer to that is yes. And I think that’s only accelerated through the strategic capital initiative where we are well capitalized and we are a fantastic buyer of these assets. Now we can do the entire service, which is we can own the aircraft via this strategic capital initiative, we can offer leasing and then we can do the maintenance. So, it’s the entire program. So, that really does accelerate our ability to penetrate aircraft more rapidly.
Joe Adams: I mean, the other important dynamic is from the eyes of the customer, which is the airline, they don’t see any difference between FTAI Aviation and SCI. We are managing the entire relationship. And so from their point of view, they’re dealing with FTAI, and they’re going to do, as many of them have said, they are going to do more engine business with us because we’re also doing – we’re becoming one of their biggest owners of their fleet.
Giuliano Bologna: That’s very helpful. And congratulations on the all the success, raising the vehicles and making everything happen quickly. I’ll jump back in the queue and move on from there. Thank you so much.
Joe Adams: Thanks.
Operator: Thank you. Please stand-by for our next question. Our next question comes from the line of Brandon Oglenski with Barclays. Your line is open.
Brandon Oglenski: Hi, good morning Joe and team. And congrats on all the developments and obviously surviving the recent volatility here. So, onwards and upwards.
Joe Adams: Thanks Brandon.
Brandon Oglenski: Joe, I wondered if you could talk – I appreciate it. Joe, I wonder if you could talk to your customer base, the airlines and how they are thinking about the NGs and the A320 prior generation family, because I think you just quoted something from Aviation Week the expectation is that the maintenance is going to remain flat for the next five years. But just given how a fund is taken Boeing to get back up and running, is this going to be a platform that runs longer than people think?
Joe Adams: That’s our bet. Yes. And the two points you mentioned, there is this lack of new deliveries, there is a hole in people’s expected growth from that that means they’re going to hold on to these current generation assets longer. And then secondly, there is still durability issues on the new technology that are causing higher operating costs in the industry and a requirement in some cases where airlines have to have more aircraft of the new type to fly the same schedule as the old type, because the engine is coming off earlier than they expected. So, those are dynamics that I don’t think are going to change anytime soon. So, David can speak to the operators, but we think they’re going to hold on.
David Moreno: Yes. We’re seeing a lot of airlines extend, let’s say, five to eight years. So we’re seeing that the longevity of this platform further and further. As Joe mentioned, the 737NG A320ceos are just a very durable product. So, you know exactly what the costs are going to be, it’s very predictable. So, a lot of airlines are holding on to these aircraft as long as possible.
Brandon Oglenski: Appreciate that response. And then can you talk to your customer base during the quarter? I know you guys are doing, I think, a lot of one-off transactions. But how successful have you been, giving folks to contracts for forward engine events in the future?
David Moreno: Yes. So, it’s a combination of, let’s say, spot transactions and then we have programs with a lot of large airlines. And these programs we’re seeing as far as, let’s say, three years. So, for example, we’ll have an airline come in to say, we want to do fan exchanges for the next three years. So those are effectively contracted in our backlog. As we mentioned, the strategic capital initiative is going to give us a contractual backlog. So I think that’s also going to give us greater access to the future. And those leases typically are anywhere from two to let’s say, seven years, but the average duration being around four years. So we’re going to have a four-year duration backlog on those leases. And as far as – again, I think, we’ve said this in a few calls, but every customer who has bought the product, who has tried the product, has come back to buy more. So, as I mentioned, it’s a product that offers cost savings, time savings and it’s a predictable product versus shopping your engine.
Brandon Oglenski: Thank you.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Hillary Cacanando with Deutsche Bank. Your line is open. Check to see if you’re on mute, Hillary.
Hillary Cacanando: Well, sorry. Sorry about that. I was on mute. I guess you could hear me now, right? So, could you go over the structure of the strategic capital initiative? For example, who owns the asset? Is it a special purpose vehicle. And who ultimately takes the residual value risk of those assets, is it the LP investor of the special purpose vehicle that takes the residual value risk? And then if you could just talk about what type of returns the LP investor could expect from investing in those assets in the core market?
Joe Adams: Sure. I can do everything except the last part. But in terms of the structure, just to lay it out sort of simply, if we assume it’s $4 billion of total capital, approximately 70% of that will be provided by the debt providers that we announced yesterday. So call that $2.8 billion. Then $1.2 billion is the remaining number, which will be equity. And those are, call it, a partnership, SCI is effectively a partnership. And there will be third-party investors for 80% of that capital and FTAI Aviation will put up 20% of that capital, so call it $240 million from FTAI Aviation. And the owner of that asset is the partnership and the residual value risk of that asset lies with the partnership. FTAI Aviation is the general partner and we will manage the partnership. So, we will make investment decisions and asset management decisions, and as I mentioned, we’ll manage relationships with the airlines, but the legal owner of it will be the partnership. And we’re not in...
Hillary Cacanando: Got it. That’s very helpful. The returns, okay. Got you. That makes sense. And then I guess staying on SCI, I guess you’ll probably get new revenue items tied to SCI, I guess you’ll get management fees and incentive fees, as well as earnings from minority interest. Could you just go over like how these fees work, for example, what are the criteria to receive incentive fees, how much are you charging for management fees and yes, how do they work? Thank you.
Angela Nam: Sure, Hillary, I’ll take that. So, on a high level, we expect to be a minority LP interest holder in the SCI. So, on the balance sheet, you will see it presented as one line as our investment. And then from an earnings perspective, from the partnership, we’ll get pro rata equity earnings on the P&L. In addition to that, as you mentioned, we will get a management fee for the assets that the partnership owns as a percentage. And in addition to that, based on hurdle calculation, we’ll also be able to earn incentives.
Hillary Cacanando: So, like what’s the percentage you’re charging for management fees? And like what are – do you have to meet some sort of criteria to get incentive fees?
Joe Adams: Yes. But we are not disclosing the content at this point, but I would just say it’s in line with market for this type of investment partnership.
Hillary Cacanando: Got it. Okay, great. Thank you very much.
Joe Adams: Thank you.
Angela Nam: Thank you.
Operator: Please standby for our next question. Our next question comes from the line of Ken Herbert with RBC Capital Markets. Your line is open.
Ken Herbert: Yes, hi. Good morning everybody.
Joe Adams: Good morning.
Ken Herbert: Hey Joe, maybe just to start, the Montreal facility was headwind to margins in the third quarter. It seems like you had some recovery there in the fourth quarter. What are you seeing with some of the legacy third-party contracts there? Have they completely rolled off? And how much of a headwind was that in the fourth quarter? And how do we think about that into 2025?
Joe Adams: Yes, there were still some of it in the fourth quarter. I think it was sort of impacted the margins by one to two percentage points. So, we had, I think, a little under $20 million of legacy business and it was below 10% margin. So, it was a drag on margins in the fourth quarter. And as I said, without that, we would have been 35%, 36% margins. It’s the most, if not a lot of that is gone at the end of December, there still are a couple of tag-ins, but it’s probably, it’s less of an impact in Q1 and it should be totally gone by the end of Q1.
Ken Herbert: Okay, perfect. And last quarter, you called out sort of the new customer additions. As you think about the sort of 600 fleet operators, can you comment on how many customers maybe you added in the fourth quarter? Or any assumptions sort of underlying penetration of, obviously, fleets you’re not working with today from an MRE standpoint?
Joe Adams: Yes, we are not going to do that every quarter. As I said, you can only be a new customer once. That’s my fear of this. It gets harder. But it was double digits in terms of new customer adds, and we’re now more focused, I think, on market penetration and market share. And looking at that with the $22 billion of spend, our revenues are about $1 billion in 2024. So, we’re under 5%, and we’re targeting ultimately over a period of much higher market penetration. And so we’re going to be measuring off, more off of that on a go-forward basis. But there are, as we said, 600 operators out there, people don’t realize how fragmented. And virtually every airline in the world owns or operates an A320 or a 737. It’s the core of everyone’s fleet and they are highly reliable, dependable, they are great cargo airplanes. So it’s going to – there is going to be a long, long tail on this fleet.
Ken Herbert: Yes. Perfect. I agree. Thank you.
Joe Adams: Thanks.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Myles Walton with Wolfe. Your line is open.
Myles Walton: Thanks. Good morning. Hey Joe, I just wanted to clarify on the SCI, I think, you said that you are moving on to your second partner in that relationship. And just curious if you can clarify, is the first partner you have currently at a larger equity stake than you are? Just how far you are in closing that the 80% outside yourselves of the equity partnership?
Joe Adams: Yes. So it’s not just a partner, it was the first closing that we had at the end of December. And what I’ve said is that was a substantial amount of the total equity that we’re seeking. It is greater than what we are planning to invest. And we are in the process of organizing a second closing, which we expect to occur in the next couple of months. It’s possible that there may not be a third closing, but we could also have a third closing probably in the third quarter with some smaller investors to fill out the group. But that’s our plan and where we are in the capital raise on the equity.
Myles Walton: Okay, perfect. And then you mentioned $1 billion of investments that you are seeing now in one of your remarks, is that in addition to the $550 million that you are seeding the portfolio with?
Joe Adams: No, it includes that.
Myles Walton: Okay, okay. And I mean, the other question I had is – and thanks for the color on the cash flow that you are presenting for 2025. In there is, I guess, replacement CapEx of $310 million, and I know that the SCI part of it is to go to a more capital-light approach. Is that replacement CapEx, something you’d expect on a go-forward basis, or is that more of replacement CapEx relative to the seeding of the aircraft you’re putting in?
Joe Adams: Yes. It’s meant to be that replacement. So, it’s not a go-forward number. And we look at the same thing last year, if you sell – to be clear, if you sell $200 million of assets in order to keep the business going, you should buy $200 million of assets. That’s the intellectually honest way to look at that number. And so we are selling assets from the balance sheet and we would expect to invest some of that money in engines, some of the same types of opportunistic purchases we’ve done historically. We could buy aircraft that have engines that we might scrap the airframe and put the engines in our MRE. So, there is a lot of deals that would not fit into SCI that we would continue to be eligible to do on at FTAI Aviation.
Myles Walton: Okay, okay. And then last one, if I could, the Slide 13, David, you went through on the green-time optimization, it didn’t look like you were adding cycles in that exercise, but the margins were quite high. I’m just curious, how often are you not adding cycles and getting kind of margin return, which is obviously a lot larger than the margins implied on the next slide?
David Moreno: Yes. So, that was an illustration where we were not adding cycles, we had cycles often, that’s happening via performance restorations that we’ll do on each of its modules. So, every asset, every module is unique. And depending on what the build is we are going to be doing different work on it, right? So we are adding cycles and that’s via performance restoration LLP replacements.
Myles Walton: Okay, thanks again.
Joe Adams: We’re also doing repairs on those modules to make sure that they last as long as the limit or less. So, there is work being done on it.
Myles Walton: Okay, thank you.
Joe Adams: Yes.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Stephen Trent with Citi. Your line is open.
Stephen Trent: Yes. Thank you, everybody. And good morning to you. I believe that Angela had mentioned earlier that you guys received, I believe, $11 some-odd million from insurance claims from your equipment that got stuck in the Russian Federation. Could you refresh my memory sort of where the rest of your outstanding claims stand?
Joe Adams: Yes. Good question and good positive developments on the insurance side in that we did receive $11 million in the fourth quarter, we’ve also received over $22 million in the first quarter of this year, already with one of our major insurers. And insurers are moving to settle now. And I think once that starts, it typically accelerates, because whoever is left, that doesn’t set, it ends up with the big legal bill. So we expect the remaining claims to settle out fairly quickly. We wrote off in total, back in 2022, at about $88 million in assets that were lost in Russia. I think we’ve recovered $38 million to date, and we expect to recover more than the $80 million [ph] in total, and it should all be this year. I expect, I hope.
Stephen Trent: Okay. That’s great color. I really appreciate that. And just one other, thinking about the industry. I know there is very little detail at this point. What might happen with import tariffs here and what have you. But I asked one of your competitors a couple of weeks ago, do you think that tariffs do get enacted, that it could actually push airlines to do more aircraft and engine leasing rather than direct purchases? So, sort of pushing the tariffs into whatever, a few more basis points of long-term leads for us is the onetime impact of paying a tariff at the point of purchase? Maybe I’m oversimplifying this, but would just love to hear your thoughts. Thank you.
Joe Adams: No. Well, there is so many theories about what tariffs actually are going to do. That’s what I hadn’t even heard, but that we hope that happens is sort of good – if it’s good for leasing, it’s good for us. But it’s really hard to know what impacts are going to hit yet. And in aerospace, as an industry, is going to be affected on new deliveries. So, that to me is more immediate. If it becomes more expensive to buy new aircraft and new parts, we have an advantage there because we’re not buying new.
Stephen Trent: That’s super helpful. Thanks so much.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Andre Madrid with BTIG. Your line is open.
Andre Madrid: Hey everyone, good morning. And thanks for the question. To address the elephant in the room, I guess, it’s good to see the audit successfully concluded. But looking at the current accounting and the fact that leasing is becoming an increasingly smaller portion of mix, are there any plans to pivot the accounting model to more of a COGS format? I mean, and away from the way you currently account for the acquisition of leasing equipment? Any color there, super helpful.
Angela Nam: Yes. I will take that, Andre. Yes, I definitely think that the move that we already have started making at end of 2024, and we’ll continue to make in 2025 as more of our business is shifting over to industrial manufacturing Aerospace Products business. So, I think that absolutely fair. It’s not something that will change overnight. But as you’ve seen with additional disclosures we’ve added in our filings and color that we’ve added on our cash flow presentation, I do think that that’s something that we are working through diligently, and you should see more of operating outflow related to our purchases over the next year.
Joe Adams: Our goal is to convert the whole company to industrial accounting. And hopefully, we can do that once the Aerospace Products business is more than half the EBITDA of the company.
Andre Madrid: Got it. Got it. Super helpful. And then I guess another one for both of you. I mean, looking at the EBITDA outlook for the coming year, I mean, how should we expect it to play out? What would the cadence look like? And maybe what are some of the moving pieces that might drive things upward or downward as we go through the balance of the year?
Joe Adams: Well, if you look back over the last, what, two years, it’s – I mean you can kind of use a ruler, but it’s not, there’s no – we don’t see any change in the cadence.
Andre Madrid: So the typical seasonality in the first quarter, then kind of contributing to a step up through the balance of the next three?
Joe Adams: We haven’t detected any seasonality really in this business. Historically, there was an argument that airlines tried to avoid doing maintenance in the third quarter of the year and they try to do it in the first quarter. But we provide something that is an immediate just-in-time solution. And if an engine – if an airline needs an engine in August, we’ll have an engine in August for them. So, they don’t have any downtime if they use our product. So, so far, we haven’t – and obviously, we’ve been on a pretty rapid growth rate, EBITDA is up 100% year-over-year. So, we don’t see an effect of seasonality in the business at this point.
Andre Madrid: Got it, got it.
David Moreno: And I think we’re more focused on overall production, right. So I think we outlined in 2025 for targets, an average of 100 modules per quarter in the Montreal facility. So, we are extremely focused on ramping up Montreal. We finished the year at Q4 at 75 modules. I think that’s in the earnings supplement. So that is our focus, right. And as we mentioned, really kind of have three initiatives around ramping up, right? It’s specialization, where we have the workforce that touches a specific module, let’s say, an LPT module. They are going to do that all day every day. So, that’s going to bring up a lot of efficiency. The second is standardization, which means that we have a doctrine on work scopes, meaning when we get modules, we know exactly what to do depending on what we find. And then number three is we’ve launched, since we’ve acquired in September, we’ve launched an incentive program for employees, that’s based on quality and production metrics. So for us, we’re strictly, we’re very focused on production at that facility, as well as Miami. I think Rome is going to increase the capacity that we have overall in the facility in MRE network.
Andre Madrid: Thanks, awesome. Thanks all for the comments, I will turn back in the queue.
Operator: Thank you. Ladies and gentlemen, at this time, I would now like to turn the call back over to Alan for closing remarks.
Alan Andreini: Thank you, Towanda. And thank you all for participating in today’s conference call. We look forward to updating you after Q1.
Operator: Ladies and gentlemen, that concludes today’s conference call. Thank you for your participation. You may now disconnect.